Operator: Good morning, and welcome to Sabre Corporation’s Full Year and Fourth Quarter 2025 Earnings Conference Call. My name is Olivia, and I will be your operator. As a reminder, please note today’s call is being recorded. I will now turn the call over to Senior Vice President, Finance, Roushan Zenooz. Please go ahead, sir.
Roushan Zenooz: Good morning, and welcome to our full year and fourth quarter 2025 earnings call. This morning, we issued an earnings press release, which is available on our website at investors.sabre.com. A slide presentation, which accompanies today’s prepared remarks, is also available during this call on the Sabre Investor Relations webpage. A replay of today’s call will be available on our website later this morning. We advise you that our comments contain forward-looking statements that represent our beliefs or expectations about future events, including results of our growth strategies, our AI offerings, and AI-related developments in the transactions and bookings growth, commercial and strategic arrangements, our financial guidance, outlook and expectations, pro forma financial information, free cash flow, net leverage, and liquidity, among others. All forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from the statements made on today’s conference call. More information on these risks and uncertainties is contained in our earnings release issued this morning and our SEC filings, including our Form 10-Ks for the year ended 12/31/2025. Throughout today’s call, we will also be presenting certain non-GAAP financial measures. References during today’s call to adjusted EBITDA, adjusted EBITDA margin, normalized adjusted EBITDA, and normalized adjusted EBITDA margin have been adjusted to exclude certain items. The most directly comparable GAAP measures and reconciliations for non-GAAP measures are available in the earnings release and other documents posted on our website at investors.sabre.com. Normalized amounts have been adjusted for estimated costs historically allocated to our Hospitality Solutions business, which was sold on 07/03/2025. We are also presenting certain financial information on a pro forma basis to give effect to the sale of the Hospitality Solutions business. We have removed the impact of the $227,000,000 payment-in-kind interest that was recorded in conjunction with the refinancing activity in 2025 from pro forma free cash flow. Unless otherwise noted, results presented are based on continuing operations. Participating with me are Kurt J. Ekert, President and CEO; Michael O. Randolfi, CFO; and Gary Wiseman, President, Product and Engineering. With that, I will turn the call over to Kurt.
Kurt J. Ekert: Thanks, Roushan.
Roushan Zenooz: Hello, everyone, and thank you for joining us. 2025 was a challenging and dynamic year
Kurt J. Ekert: in which exogenous events impacted our operational results. Despite these challenges, we remained focused on execution and met or exceeded our financial guidance in the fourth quarter and ended the year with positive momentum. Moving forward, I believe we are well positioned for strong, sustained performance. Our growth outlook today is driven by several key catalysts: continued distribution share gains, the expansion of our multi-source content platform, solid growth in both hotel distribution and our payments business, as well as improving performance in our airline technology business. As I have discussed previously, our industry is evolving rapidly, and Sabre is evolving with it. We are in the midst of a fundamental transition, moving Sabre from a GDS-focused company to an AI-native technology leader. Before reviewing 2025 performance, I have some thoughts on recent market sentiment around AI disintermediation risk—the concern that AI bots could bypass our marketplace and connect directly to suppliers. We strongly disagree. AI needs what Sabre has already built.
Operator: Vast, constantly evolving data,
Kurt J. Ekert: integrated content, and complex logic purpose built to solve travel’s uniquely challenging workflows. We provide the foundational transaction layer AI uses to shop,
Operator: price, book,
Kurt J. Ekert: and service travel. We expect this shift makes us more essential, not less. We believe Agentic AI will reshape the technology landscape, and we are positioning Sabre to lead in this next phase. As AI-native companies enter the travel ecosystem, they need Sabre’s strong foundation, which provides breadth of content, modern cloud-native platform, and AI-native APIs, which we believe positions us as the platform of choice. While we are in the early stages of sizing the AI opportunity and have not included any of the potential significant upside in our forward outlook, we are taking deliberate actions to align our talent and investments with the strategy and position Sabre for long-term growth and value creation. As part of these actions, today, we announced a series of executive leadership changes, effective tomorrow. Gary Wiseman is promoted to President, Product and Engineering, with his agreement expanded to include leadership of innovation and Agentic AI. Sean Williams is appointed Chief Operating Officer and will lead Sabre’s revenue and commercial operations functions. Andy Finkelstein steps into the role of Chief Commercial Officer, Travel Marketplace, and Dave Medrano is promoted to Chief People Officer. Separately, Roushan Mendez, who has been a superb leader during his many years with Sabre, most recently as Chief Commercial Officer, has decided to pursue another opportunity. Roushan will transition to Senior Adviser before departing the company in May. We deeply appreciate his contributions and wish him continued success. On today’s call, I have invited Gary to share our progress on delivering Agentic AI solutions to drive long-term growth and why that makes us a critical part of the evolving AI ecosystem. Now turning to slide four, for the year, we recorded double-digit year-on-year growth in normalized adjusted EBITDA and generated positive pro forma free cash flow. A key focus for us is further strengthening our balance sheet, and we made significant progress this year by paying off over $1,000,000,000 in debt, which, when combined with growth in pro forma adjusted EBITDA, reduced our pro forma net leverage by approximately 25% compared to year-end 2024. We continue to be proactive in managing our long-term capital structure. Through two successful refinancings in 2025, we have no large maturities until 2029, and over 90% of our debt now matures in 2029 or later. We also ended the year with a strong cash balance of $910,000,000, which includes $98,000,000 of restricted cash for debt repayments in 2026. While we have more work to do to reach our long-term leverage goals, these actions provide us with significant room to continue to invest and further grow our business. On the right side of the slide, our technology investments are driving positive, measurable results. AI has been a core systemic part of the Sabre technology stack for years, and we continue to lean into that advantage. In 2025, we seized the first-mover position in our industry with our introduction of Agentic APIs and a proprietary MCP server designed for the travel industry. These Agentic solutions help AI agents better understand and operate within the complexity of travel content and workflows. We also launched several industry-first AI solutions and partnerships, which Gary will touch on shortly. Sabre Payments was one of our fastest growing businesses in 2025, with gross spend on the platform increasing more than 35% year on year and producing strong revenue growth. Our travel marketplace continues to deliver multisource travel content on an unprecedented scale and drove agency wins and expansions during the year. In the fourth quarter, air distribution bookings grew 4%, which included the direct and indirect impacts from the U.S. government shutdown, and we ended the year with air bookings growth of 7% in December. Finally, we extended our leadership position in NDC by adding 15 live integrations during the year, bringing our total to 42, and we are seeing adoption ramp. We exited 2025 with NDC representing approximately 4% of total air distribution bookings, and we expect our rate of NDC bookings to accelerate throughout 2026. Moving to slide five and details on full-year 2025 results. Overall results were positive across the board. Total distribution bookings grew 1% year on year, and full-year air distribution bookings were also positive. Within airline technology, passengers boarded grew 2% year on year. Hotel distribution bookings increased 5% year on year to 42,000,000, and the attachment rate to air bookings increased over 130 basis points year on year. Gross hotel booking value transacted through the platform now exceeds $20,000,000,000 annually. These positive results drove full-year revenue growth and, combined with ongoing expense management, normalized adjusted EBITDA grew 10%. Normalized adjusted EBITDA margin improved over 160 basis points to 19%. Moving to slide six. Our cloud-native technology foundation is driving growth across our portfolio. Within airline technology, we are delivering a growing suite of modular, AI-driven solutions ranging from new tools that optimize revenue in real time to a growing suite of GenAI chat and servicing capabilities. As airlines transition to modular, offer-order-based systems, we believe Sabre is well positioned to be the vendor of choice for their transformation. With our Sabre Mosaic airline technology gaining momentum, we expect to drive positive IT Solutions revenue growth for 2026. Our travel marketplace provides a single connection to what we believe is the widest breadth of travel content in the industry. Air Expansion is the combination of our distribution expansion and multi-source platform growth strategies. Despite a challenging 2025, we ended the year with strong momentum, driven by continued share gains, growth in NDC bookings, and our new LCC solution, which is now fully launched, as well as continued growth from the Sabre Mosaic Marketplace. We expect to see a meaningful year-on-year acceleration in air bookings growth. Overall, we expect annual volume growth for both 2026 and 2027 to be in the mid-single digits. Importantly, now six weeks into the quarter, the strength we saw in December has continued and is broad-based across all regions and also within corporate travel. Lodging expansion continues to scale, delivering over $350,000,000 in annual LGS revenue in 2025, and we expect continued solid revenue growth in 2026. Finally, we believe that PaymentSuite, our integrated fintech hub, is well positioned for sustained growth. It remains one of the fastest growing areas within Sabre with strong demand for our solutions that simplify operations, increase payment flexibility, and automate risk and fraud management. I will now hand the call over to Gary, who will discuss AI and Sabre’s AI strategy in greater detail.
Gary Wiseman: Thank you, Kurt.
Kurt J. Ekert: Moving to slide seven. AI needs us to power results.
Gary Wiseman: And we believe it is a huge opportunity for us. Let me explain why from a technology perspective. We sit on over 50 petabytes of curated travel data, and we have the greatest depth and breadth of content in the travel space. We process 14,000 transactions per second and 11,000,000,000 shopping centers per month. These unparalleled demand signals do not exist anywhere in public today. However, we enable pure-play AI companies to participate in a complex space with a simple connection to these insights. We believe we are also critical in an AI-first world because of our proprietary and constantly evolving logic. Travel is extraordinarily complex. We house over fifty years of servicing workflows, travel policies, and compliance logic across 200-plus countries and thousands of supplier-specific fare rules and partner network agreements, all built through billions of real transactions. In short, we believe we have solved for almost every single edge case that has ever existed in travel, anywhere in the world. This logic is proprietary and cannot be scraped from the web or reverse engineered. AI engines cannot independently obtain and orchestrate this logic. While chatbots can generate itineraries, they cannot book or service them reliably at scale. For example, we aggregate and normalize real-time flight results in subseconds across hundreds of sources. This is a huge technical hurdle for most AI players today. And this is why Virgin Australia, PayPal, and a growing pipeline are building on us, not around us. And finally, we have a first-mover advantage in the industry. We launched the first agentic APIs and MCP server for travel almost six months ago. This was purpose built for LLM consumption, at enterprise scale. It is in production now, while competitors have yet to unveil their agentic API. Our open, modular platform plugs into wherever travel gets sold and wherever consumers go next, which we believe is conversational commerce. In summary, we own the foundational layer AI needs to transact travel. We believe the shift to Agentic makes us more essential than ever. Moving to slide eight. I will discuss our three recent strategic partnerships, which serve to demonstrate our leadership position within AI infrastructure. We believe Sabre is becoming the essential AI infrastructure for travel, serving both established companies modernizing their stack and AI-native startups building next-generation experiences. Our three recent partnerships confirm this. PayPal and MindTrip are building with us a next-generation agentic experience unifying discovery, planning, payment, and servicing in one conversational interface. Booking, MindTrip brings the consumer platform, PayPal brings flexible payments, and agentic commerce, and Sabre brings an enterprise travel platform and agentic AI expertise. The product launch is targeted for 2026.
Kurt J. Ekert: Bistrep, a Silicon Valley-based AI-native TMC,
Gary Wiseman: is combining our agentic capabilities with their AI assistance to build corporate travel functionality handling complex bookings, real-time itinerary management, and intelligent policy automation through natural language interfaces. They are leveraging our travel marketplace, agentic APIs, and global network. Virgin Australia is the first airline deploying our ConcourseWare IQ solution. It handles layered questions, delivers accurate, bookable results, and goes beyond booking to managing rebooking, miles redemption, refunds, and backtracking. Virgin Australia is seeing improved experience and higher satisfaction with Concourse IQ. Additionally, we are exposing this functionality via a new Chat Manager Vita plugin for Virgin Australia. This Chatty Bitty plug-in solution is available for all of our travel supply partners. Our AI solutions help our customers compete and win in the emerging AI ecosystem.
Kurt J. Ekert: Further,
Gary Wiseman: we believe we are well positioned to win in the new channel of conversational travel commerce by providing comprehensive shopping, booking, and servicing capabilities to any company that is developing an agentic travel experience. Thank you. Now over to you, Mike. Thanks, Gary, and good morning, everyone. Please turn to slide 10.
Kurt J. Ekert: Fourth quarter financial results were solid and generally met the expectations we shared on our third quarter call. These results reflect the continued improvement in operating trends we saw at the end of the third quarter, partially offset by impacts related to the government shutdown during the quarter. In the fourth quarter, total revenue grew by 3% year on year, consistent with our guidance of low single-digit year-on-year growth. Distribution revenue grew $27,000,000, an increase of 5%, primarily due to an increase in air and hotel distribution bookings, favorable rate impacts, and an increase in other revenue. Air distribution bookings grew 4% year on year, below the guidance of 6% to 8% we provided on our third quarter earnings call. While our previous outlook accounted for the government and military travel reductions known at
Michael O. Randolfi: the time, the impacts were broader than expected due to lower inbound U.S. traffic and an increase in flight cancellations. As Kurt mentioned, we ended the year with strong momentum, achieving 7% air distribution bookings growth in December, and we anticipate mid-single-digit air distribution bookings growth in the first quarter. IT Solutions revenue of $140,000,000 was within the range of expectations we shared on our third quarter call. Gross margin of 58% was also in line with our expectations. The year-on-year decrease in gross margin was primarily due to revenue mix and FX impact of a weaker U.S. dollar. Fourth quarter 2025 normalized adjusted EBITDA of $119,000,000 increased 10% year on year, with normalized adjusted EBITDA margin expanding by 107 basis points to 18%. Normalized adjusted EBITDA growth was driven by higher revenue and continued expense management. Pro forma free cash flow was $116,000,000 for the fourth quarter, a year-on-year increase of $45,000,000. And recall, our quarterly pro forma free cash flow includes the negative impact of $19,000,000 of disbursements related to refinancing fees and interest paid earlier than previously expected. Moving to slide 11 and full-year 2025 results. For the full year, Sabre reported revenue of $2,800,000,000, up 1% year on year, driven primarily by growth in distribution revenue. Gross margin for the year was 57.2%, within our expectations. Full-year 2025 normalized adjusted EBITDA of $536,000,000 increased 10% year on year, with normalized adjusted EBITDA margin expanding by 166 basis points to 19%. Pro forma free cash flow was $57,000,000. We ended the year with a strong cash balance of $910,000,000, which includes $98,000,000 of restricted cash for debt payments in 2026. Moving to slide 12. Full-year results were largely in line with the expectations we outlined on our third quarter earnings call. Revenue growth of 1% met our guidance for flat year-on-year growth. Normalized adjusted EBITDA of $536,000,000 was above our guidance of approximately $530,000,000, driven by continued cost management.
Operator: Pro forma
Michael O. Randolfi: free cash flow of $57,000,000 includes $19,000,000 of disbursements related to refinancing fees and interest paid earlier than previously expected due to the refinancing activity in 2025. Turning to slide 13. In 2025, we made significant progress on our capital structure, lowering overall debt and extending our maturities. We paid off over $1,000,000,000 of debt using cash on the balance sheet and proceeds from the sale of Hospitality Solutions. Importantly, we have also extended our debt maturity profile. Following two successful refinancings in 2025, we have no large debt maturities until 2029, and over 90% of our debt matures in 2029 or later. Through growth in pro forma adjusted EBITDA and the reduction of debt, combined with our strong year-end cash balance, we have reduced our pro forma net leverage ratio by approximately 25% versus year-end 2024. We remain focused on further delevering, and I am proud of the work we have done this year. Moving to slide 14 and our outlook for 2026, including a walk from 2026 pro forma adjusted EBITDA to free cash flow. Consistent with our strategy, we are providing 2026 guidance as well as commentary on 2027 to demonstrate that we believe we are well positioned to generate sustainable, positive free cash flow over the long term. Our outlook excludes the potential upside from agentic AI initiatives, which we believe could be meaningful, but it is too early to quantify. For full-year 2026, we expect mid-single-digit volume growth, driven by continued share gains, growth of NDC bookings, and our recently launched LCC solution. We expect the growth in volumes will lead to year-on-year revenue growth of mid-single digits. We also expect IT Solutions revenue to grow in the mid-single digits for the year and to be in the range of $140 to $150,000,000 per quarter, with growth coming primarily in the back half of the year. As mentioned, we do expect that a portion of 2026 revenue growth will be driven by increasing NDC and LCC volumes, which drive incremental gross profit at a slightly lower margin. In addition to the impact of these accelerating volumes, some additional expected changes in mix as well as FX pressure, we anticipate 2026 pro forma gross margin to be in the range of 56% to 57%. We are targeting to keep pro forma adjusted technology and pro forma adjusted SG&A lines relatively flat over the next two to three years through an inflation offset program. The goal of this program is to offset normal inflationary pressures over the next two to three years. We anticipate the pro forma adjusted technology line will reflect a low-single-digit percent increase due to increased technology cost from higher volumes. We expect pro forma adjusted SG&A will decrease by a low single-digit amount for the full year 2026. Through keeping costs relatively flat, we expect strong flow-through from revenue growth to pro forma adjusted EBITDA, which is expected to be approximately $585,000,000 in 2026. We do not expect any significant change in our annual CapEx spend of approximately $80,000,000. Annual cash interest in 2026 is expected to be approximately $470,000,000. This represents a year-on-year increase of approximately $140,000,000. The increase is primarily due to Sabre no longer receiving the cash benefit from the paid-in-kind instrument Sabre had in place from June 2023 through May 2025, which provided us with the option to defer cash interest. As part of our inflation offset program, we estimate total restructuring costs will be around $65,000,000. In 2025, we recorded a $51,000,000 charge related to this program. We expect approximately $60,000,000 of cash outflows related to the program in 2026. One item to note before discussing our free cash flow guidance: going forward, we will not be utilizing the pro forma free cash flow metric as there are no further adjustments to be made to free cash flow for the sale of Hospitality Solutions. We expect 2026 free cash flow to be negative $70,000,000, driven primarily by the impact of the $60,000,000 in restructuring cost associated with our previously discussed inflation offset program. Excluding the restructuring charge, free cash flow for 2026 would be near breakeven. Looking beyond 2026, with the continued execution of our growth strategies, we anticipate the positive growth trends we have guided to in 2026 will extend into 2027. Our current expectation is also for mid-single-digit revenue growth in 2027. Driven by continued revenue growth and ongoing cost discipline, we expect sustained year-on-year adjusted EBITDA growth and, importantly, positive free cash flow in 2027. Looking at slide 15 and our expectations for the first quarter. We expect solid growth in the first quarter with volume and revenue growth in the mid-single digits. We anticipate our first-quarter revenue growth will result in higher year-on-year gross income. We expect first-quarter pro forma gross margin to be at the lower end of our expected annual range of 56% to 57%, primarily due to revenue mix and FX impacts of a weaker dollar. We expect gross margins for the remaining 2026 to be higher versus the first quarter due to the impact of higher-margin sales including media, as well as payments. Additionally, in the first quarter, we expect pro forma adjusted technology expense will be higher on a year-on-year basis, primarily due to volume growth and typical wage inflation. Moving to pro forma adjusted SG&A. We expect a year-on-year increase due to a combination of typical wage inflation and the impact of a sales tax refund benefit of $7,000,000 in the prior year that is not expected to recur. For the remainder of 2026, we expect that costs will generally trend down due to the impacts of our inflation offset program. Overall, we expect first-quarter pro forma adjusted EBITDA to be approximately $130,000,000. We expect quarterly free cash flow to follow historical seasonality and expect the first and third quarters to reflect the majority of the full-year increase to cash interest expense. For additional details, we have included a schedule of expected quarterly cash interest within our website financials, available on our Investor Relations website. Our strategy remains focused on generating free cash flow and delevering our balance sheet and driving sustainable growth through innovation. We made significant progress against these priorities in 2025. Building on the momentum we exited 2025 with, we are excited for the year ahead, and we are optimistic that Sabre is positioned to transition to a period of higher revenue growth going forward. And with that, operator, please open the line for questions.
Operator: Thank you. To ask a question, you will need to press 1-1 on your telephone and wait for your name to be announced. To withdraw your question, simply press 1-1 again. Our first question is coming from the line of Dan Wasiolek with Morningstar. Your line is now open.
Kurt J. Ekert: Hey, guys. Good morning. Nice quarter. Probably a question here for Gary. You have obviously been hard at work with your AI tool development. I can see how that strengthens your network ecosystem. I am just wondering what still needs to be done in your view on the AI front. What should we be looking for? And then in the prepared comments, you mentioned upside
Unknown Analyst: opportunities from AI. I am just wondering if you maybe could provide some more color on what those might be. Thank you.
Gary Wiseman: Yeah. Hey. Good morning. Thank you very much, and
Kurt J. Ekert: Go ahead, Gary. Just jump right in.
Gary Wiseman: So I think on the AI front relative to the travel use cases, for me, really, what is going to be the next stage here is to generally show the end-to-end experience of conversational commerce in travel. And so that is what we are doing with the partnership that you have seen with MindTrip and with PayPal, where through the MindTrip app itself, you can have a great experience in terms of building an itinerary that is personalized, that is highly relevant to your needs as you try and plan your next trip. We then come in in terms of making sure that we provide you the greatest offers in terms of how to get there, where to stay, and then, obviously, with PayPal, they then are able to help in terms of the payment, whether it is a single payment or payment over time through installments to make sure that you can actually afford that particular trip. So that has been one of the things for me that has been missing when it came to AI and a travel experience, that no one has really done that end to end yet—from the discovery, the planning, the booking, the payments, and the servicing. So that is what I am super excited to see as we go into the 2026. Go ahead, Kurt.
Kurt J. Ekert: Yeah. I was just going to add. One of the interesting things that is unique about Sabre, as Gary alluded to in the prepared remarks, is we already have the full breadth of data content, intelligent shopping, servicing capabilities. Putting the front end, the agentic layer on there, as Gary would articulate, is actually not that technically complex. It is just a matter of extending our capabilities into it as a new ecosystem of agentic travel.
Operator: And
Unknown Analyst: thank you. And then, anything you are willing to remark on, like, opportunities that might evolve from AI in the years to come?
Kurt J. Ekert: Yeah. I think the best way to think about this in my eyes is if you think back, if you are as old as I am, 30 years ago, you saw the emergence of online travel agents as a fundamentally new channel, and that had the impact of taking share away from both supplier direct and indirect channels at the time. I think what you are going to see with agentic travel—these are the agentic players as well as tech platforms—is that is going to emerge similar to the way OTAs emerged as a fundamentally new channel, probably happen even more rapidly than what you saw with the emergence of OTAs. When you think about which channels are at risk, I think it is those that are subject to an Internet or electronic experience today. So less impacted should be corporate travel and brick-and-mortar travel agencies. More impacted would be supplier direct where you have non-loyal travelers, metasearch, which is not an end-to-end experience because you are being linked off, then third would be OTAs. Obviously, OTAs are going to play in this very differently. So we think the offensive opportunity for Sabre is very substantial. Again, very hard to articulate how large that agentic sector is going to be and the pace at which it is going to play. But we believe we have a distinct market advantage in terms of speed to market today. We are looking to plant flags very aggressively.
Unknown Analyst: Okay. Great. Thank you.
Operator: Thank you. Our next question is coming from the line of Joshua Phillip Baer with Morgan Stanley. Your line is now open.
Unknown Analyst: Thanks for the question. I think you did a great job addressing the
Michael O. Randolfi: topic of agentic and AI bots. I was hoping you could do the same with just direct connects generally. One of the challenges of airlines or, and OTAs, other travel buyers, just building direct connects is the huge cost burden in establishing and also maintaining and supporting those connections. From an R&D and a developer and infrastructure perspective, does the introduction of GenAI change that economic equation at all, just thinking about lower cost of coding
Josh Baer: increasing productivity of a developer? Yeah. If you could weigh in there on that topic. Thanks.
Kurt J. Ekert: This is Kurt. Let me have Gary jump in first on the, what I will call, the physics of Direct Connect and how that will emerge in an agentic world, and then I will comment on the industry structure a bit.
Gary Wiseman: Yes. Thank you. Thank you, Josh. So, really, this comes down to what makes us a great partner for an AI company or anything to work with rather than an attempt to really replicate what we do. We have a highly scalable marketplace, obviously, with that vast selection of travel content that we have both the contractual rights to aggregate, normalize, and display at a speed that an AI agent could not do in a real-time fashion, which is due to our volumes, which means that we can predictably cache content in such a way that individual suppliers cannot, and hence, we can cope with that look-to-book ratio that is a severe tax on suppliers’ infrastructure costs. So this is something, again, that, whether it is in a general web search or any type of shopping scenario that could be AI or not, is something that we excel at in terms of responding in subsecond times compared to what is today taking, you know, eight to nine seconds connecting directly to a supplier and shopping on their APIs independently.
Operator: Okay.
Kurt J. Ekert: Yeah. Thank you, Gary. And so about Direct Connect generally. For folks who enable a Direct Connect—and Sabre is an amalgam of 500 airline direct connects and thousands of hotel direct connects, for example—when you have look-to-book coming inbound and you have massive complexity, that creates challenges both for the supplier who is dealing with this inbound traffic, number two is for the person doing the Direct Connect. Very difficult to manage that environment. We have spoken previously about the opportunity for a reintermediation of some of the direct traffic. I think you will see that in some of our results going forward. With agentic AI, that problem is going to be exacerbated for both the suppliers with inbound traffic and response times, and two, for folks who may have those direct connects in place like OTAs. So I actually think the utility that we provide tomorrow in an agentic world is going to be even more important than it was yesterday.
Josh Baer: Okay. That is helpful. And then I was just hoping you could unpack this inflation offset program a little bit further. What exactly is inflating? Is that just wages? Is it other costs? And what exactly is offsetting? Thanks.
Michael O. Randolfi: Yeah. You know, as part of any cost, over time you have some inflation, primarily wage inflation, but then you also have contractual inflation. Technology costs tend to go up. One of our goals is to keep our key line items of technology cost and SG&A roughly flat except for some volume-related hosting costs. So we have embarked on a program basically to drive efficiency and effectiveness through our organization, with the goal of, over the next two to three years, keeping those cost items
Kurt J. Ekert: relatively flat, relatively flat, such that as we grow
Michael O. Randolfi: bookings and revenue, we see strong flow-through to EBITDA and EBITDA margin accretion and ultimately greater free cash flow.
Josh Baer: Okay. So that is layoffs and future restructurings?
Michael O. Randolfi: The way I would think about it is I would put it in three categories. One is leveraging best-in-class geographical location. Second, working with third parties who have a certain expertise and efficiencies to a greater degree, and then further embedding AI into our workforce and greater enabling our teams to be as productive as possible. And that is the focus.
Kurt J. Ekert: Yeah. And I would just say, in doing this, we hold two things relatively sacrosanct. One is operational delivery for our customers, and then two is research and development. And just anecdotally, we will have more engineers working on Sabre a year from now than we do today. We are going to be ramping engineers through the year and doing that effectively through this program.
Josh Baer: Okay. Thank you.
Operator: Thank you. Our next question is coming from the line of Jack Halpert with Cantor Fitzgerald. Your line is now open.
Gary Wiseman: Hey. Thanks for taking the question, guys.
Michael O. Randolfi: Just another on the agentic AI stuff. So you have a relationship with Google for other parts of the business. Do you see any opportunity to deepen your relationship with Gemini on the agentic AI front? Are you having any conversations with other leading AI labs,
Brian Evans: OpenAI, etcetera?
Michael O. Randolfi: And then just secondly, on capital allocation, I know you made a lot of progress in the debt pay down this year. Moving forward,
Kurt J. Ekert: you talk about
Jack Halpert: how you are thinking about capital allocation for 2026 and beyond? Is the debt profile still the number one priority? Or do you feel like you are at a good level to start shifting investment more towards growth initiatives? Thanks.
Kurt J. Ekert: Thanks, Jack. I will take the first question and then ask Mike to speak about capital allocation. We have a great relationship with Google. Our AI infrastructure is effectively built on Google’s Vertex and now Gemini AI capabilities. I would say what you have seen is the tip of the iceberg in terms of relationships and partnerships that are going to come in the market. We are in conversations with effectively all the meaningful large players out there, which is why we believe this is such a significant opportunity for Sabre. Let me turn it to Mike to speak about capital allocation. Yeah. First, I would start with the back part of your
Michael O. Randolfi: question first. And I would say we prioritize our investment in our growth initiatives, our growth strategies, and our agentic AI push forward. So that is a priority. That has always been a priority. With regards to capital structure, we have been thoughtful with regards to our capital structure. We will continue to do so. But I think we are actually in a pretty good place today. We ended the year with $910,000,000 of cash on the balance sheet. Now, $98,000,000 of that is in escrow for some debt paydowns in March of 2026. So, really, the usable cash is $812,000,000. We expect to ultimately be generating positive free cash flow over the long run. And if you look at our maturity ladder, I think we put ourselves in a pretty good place. We have no large up until June 2029, and we have done that pretty efficiently in terms of cost. So we think we are in a pretty good place at the moment.
Jack Halpert: Great. Thank you, guys.
Operator: Thank you. As a reminder, to ask a question, please press 1-1. Our next question in queue is coming from the line of Victor Chang with Bank of America. Your line is now open.
Roushan Zenooz: Hi, thanks for taking my questions, and good slides on the agentic AI initiatives. Maybe on the volume growth for this year,
Unknown Analyst: can you walk us through maybe the cadence of it? Obviously, you are guiding mid-single-digit
Roushan Zenooz: on a full year.
Kurt J. Ekert: I think earlier this year, you still annualized in some of the share gains that you have.
Roushan Zenooz: So what is sustaining growth in H2? Is that related to the multi-source low-cost carrier initiative? How is that working?
Kurt J. Ekert: And then secondly, on NDC, you talked about that going up 4%. Can you talk a bit about where you are seeing that growth coming from? Are TMCs finally getting on board?
Unknown Analyst: And maybe by region as well? Thank you. And I will have a quick follow-up.
Kurt J. Ekert: Okay, Victor, thank you. Multipart question, of course, as usual. Number one is with respect to distribution volume growth for this calendar year. As we indicated, we expect to see mid-single-digit distribution volume growth for 2026 and, again, for 2027. As we indicated, in December, we saw 7% air distribution volume growth. We have seen a similar trend year to date so far. That is broad-based across all regions. It includes corporate travel, which we had indicated was actually negative last year. So much healthier market environment today. When we look at
Josh Baer: this
Kurt J. Ekert: in a componentized fashion, first of all, we expect that—our assumption is—the GDS market is largely flat from 2025 to 2026. So the growth that we are indicating is largely organic performance by Sabre. Number one, we expect to continue to take share. That will be the realization of share takeaways that we implemented last year. We have other things that are being implemented, and we expect to continue to win at pace. Two is NDC, which reached 4% adoption at the end of last year. We expect that to continue to scale, and I will speak about that further in a second. And then three is, we spoke last year about integration of additional low-cost carrier inventory and the launch of our multisource platform in new low-cost carrier. That is all fully in production today. It is one of the key reasons we are winning, and we expect to pick up incremental bookings from those carriers as well. With NDC more specifically, we are seeing it pretty broad based in terms of adoption by OTA and TMC. And I would say it varies by region, but it is very specific to carrier. So, for example, you might have a large carrier in South America, which has brought in NDC adoption, and if that is a top tier-three carrier, that will drive adoption for the region in total. But I would say, generally, you are at a point now where, as we indicated, we have 42 carriers live within our NDC solution. We have done a significant amount of work on functionality to basically normalize workflow differences between Edifact and NDC for the travel agent, and that is mitigating any productivity or user experience impacts that they may have had previously. So, again, we expect that to scale at pace as we go forward. Thank you. That makes sense. And maybe a quick follow-up on the restructuring. Should we expect the inflation offset program to continue, and any
Unknown Analyst: cash flow impact for 2027 as well potentially?
Michael O. Randolfi: Sure. So we believe the total quantum of the restructuring will be around $65,000,000. As we talked about, we had a $51,000,000 charge in 2025. The bulk of the cash flow impact will be during this year in 2026, and that is the $60,000,000 you see in our guidance slide. So in 2027, any cash flow impacts we expect would be de—could be some, but I would expect it to be de minimis.
Kurt J. Ekert: Okay. Thank you.
Operator: Thank you. The last question will come from the line of Jed Kelly with Oppenheimer. Your line is now open.
Kurt J. Ekert: Hey. Great. Thanks for taking my questions.
Unknown Analyst: Just on the free cash flow guidance,
Kurt J. Ekert: can you give us an update on how your discussion is going
Jed Kelly: with your debt holders and, you know, free cash flow being flat? Would love to hear an update there. Thanks.
Michael O. Randolfi: Yeah. I mean, well, Jed, as you know, we just completed a significant refinancing of $1,800,000,000. That refinancing went very, very well. We did that at an interest cost of 11 and 1/8%. And the free cash flow profile today is the same as when we conducted that refinancing. So, overall, we are focused on generating positive free cash flow. We expect to generate positive free cash flow in 2027, and we have a strong cash balance.
Kurt J. Ekert: Yeah. And, Jed, just keep in mind, as Mike indicated during the prepared remarks, free cash flow projection for this year includes the $60,000,000 of impact restructuring. Yeah. About a $130,000,000 year-on-year difference from the PIK moving to cash. So there is no more PIK debt that we hold today.
Jed Kelly: And then I would love to hear your—I guess, because I am last, I will ask a couple. You said corporate travel is holding up pretty well. That is good to hear. Is that kind of a comp issue, or what is going on there, and where are you seeing the strength? Is it coming more from the traditional travel agencies, or is it coming from some of these new self-service players that we hear about?
Kurt J. Ekert: I would say corporate travel and TMC traffic, which was trailing the market last year, we are seeing positive signs in the first part of this year. That is fairly broad, both with traditional or existing players as well as some of the new entrants. So we have good exposure to both parties.
Jed Kelly: Got it. And then I guess just my final one. I appreciate all the commentary around AI. I know you have been in the travel industry for a while. When you hear all these direct connections, and you can see the market is pretty excited about it if you just look at the relative outperformance between Marriott and, like, a Booking or any third-party travel agent. I am just wondering, as we kind of see this evolve,
Kurt J. Ekert: how does this differ than search, where
Jed Kelly: I assume these direct connections were available for a while, but the suppliers never took advantage of search. And I guess what makes this different? Because I have to assume Google is not going to give away their search advertising business, and OpenAI is going to need a pretty big auction advertising business to pay for all their compute requirements. So just wondering how you see this evolving.
Operator: Thanks.
Kurt J. Ekert: Yeah. So what is interesting—what is very different about, let me compare this to metasearch—is Google Flight Search or KAYAK, for example,
Michael O. Randolfi: where
Kurt J. Ekert: you get to compare as a consumer many different price points and then you get launched into a different ecosystem to consummate your booking, into the supplier direct or into the OTA, for example. What we have heard from effectively every agentic player and large tech platform that we have spoken to in recent months is they want to have an integrated end-to-end experience to include changes, servicing, etcetera, which does not sound like a metasearch experience whatsoever. It sounds more like an agency experience. And so, as Gary indicated, we think we are very well positioned to enable that. When you think about this on a channel basis—and I talked earlier about supplier direct, let us say non-loyal customers, and metasearch—we have a de minimis or almost no share impact from either of those two channels today. So as an intermediary, to the extent that those channels are impacted, that will have no adverse effect on Sabre. If OTAs are adversely impacted, that is between 20–25% of our intermediary trading volumes. But we think the OTAs, especially folks like Priceline or Expedia, are very well positioned to compete there. So we look at this and say, agentic and us backing the agentic is an offensive new opportunity. To the extent there is downside risk, the downside risk to us given our ecosystem is relatively small.
Jed Kelly: Got it. And then nice announcement with MindTrip and PayPal. I know the MindTrip people, pretty interesting platform they are building. Can you just expound on that? I know you said it in prepared remarks, but any additional color you can add to people on the call?
Kurt J. Ekert: Yeah. Gary has been the architect of that, so I will ask him to step right in.
Gary Wiseman: Yeah. So as I mentioned earlier, in terms of the way we are working together here is that MindTrip is that front-end experience, where they are using agentic capabilities in order to really allow discovery and trip planning. So let us say you want to go to Japan, you have two teenagers, one is into manga. You can tell it that, and it will start to suggest an outline of places to go, things to go and see. And then, combined with that, it will start calling us for hotel information as it is planning the itinerary to map out what a good hotel would be near a particular attraction that might interest you. And, eventually, it will start to
Jack Halpert: all those
Gary Wiseman: as it builds the full itinerary. And then from that point onwards, as you decide, okay, this is the trip I actually want to go for, that is where PayPal comes into the mix. So PayPal, as I said earlier, they have the instant payment option, of course, but then also they provide installment payments. As you know, travel these days, particularly international travel, can get quite expensive. So the ability to pay in installments is also, I think, a very critical part of this particular experience. And then after that, we provide the booking and the servicing capabilities. So if, during the trip, you run into issues, you need to reschedule things, rebook, etcetera, you can come back to the MindTrip app and simply tell it that you would like to change your flight. So it is really an end-to-end experience for consumers as they look to discover, plan, book, and then be serviced throughout the travel experience. Great.
Jed Kelly: Very helpful, and appreciate you answering all the questions.
Jack Halpert: Of course. Thank you.
Operator: This concludes the Q&A portion of the call. I will now turn the call back over to Kurt J. Ekert, CEO, for any closing remarks.
Kurt J. Ekert: Thank you, everybody, for the interest today. We are extremely optimistic and excited for the year and the years ahead, and look forward to sharing results with you in the next quarter and quarters ahead.
Unknown Analyst: Take care.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.